Operator: Good day and welcome to Paymentus' Second Quarter 2023 Earnings Call. This call is being recorded and all participants are currently in a listen-only mode. There will be an opportunity to ask questions following managements' prepared remarks. [Operator Instructions] At this time, I will now turn the call over to David Hanover, Investor Relations. Please go ahead.
David Hanover: Thank you. Good afternoon, and welcome to Paymentus' second quarter 2023 earnings call. Joining me on the call today is Dushyant Sharma, our Founder and CEO; and Sanjay Kalra, our CFO. Following our prepared remarks, we'll take questions. Our press release was issued after the close of market today and is posted on our website, where this call is simultaneously webcast. The webcast replay of this call and the supplemental slides accompanying this presentation will be available on our company's website under the Investor Relations link at ir.paymentus.com. Statements made on this webcast include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements use words such as will, believe, expect, anticipate and similar phrases that the future expectation or intent regarding our financial results and guidance, the impact of and our ability to address continued economic uncertainty and inflation, our market opportunities, business strategies, implementation timing, product enhancements, impact from acquisitions and other matters. These forward-looking statements speak as of today and we undertake no obligation to update them. These statements are subject to risks, uncertainties and assumptions, that may cause actual results to differ materially from those set forth in such statements, including the risks and uncertainties set forth under the captions, special note regarding forward-looking statements and risk factors in our annual report on Form 10-K for the year ended December 31st, 2022, our quarterly report on Form 10-Q for the quarter ended March 31, 2023, and our quarterly report on Form 10-Q for the quarter ended June 30, 2023, which we expect to file with the SEC shortly and elsewhere in our other filings with the SEC. We encourage you to review these detailed forward-looking statements, Safe Harbor and risk factor disclosures. In addition, during today's call, we will discuss certain non-GAAP financial measures, specifically, contribution profit, adjusted gross profit, non-GAAP operating expenses, adjusted EBITDA and adjusted EBITDA margin. These non-GAAP financial measures, which we believe are useful in measuring our performance and liquidity, should be considered in addition to and not as a substitute for or in isolation from GAAP results. We encourage you to review additional disclosures regarding these non-GAAP measures, including reconciliations of the most directly comparable GAAP measures in our earnings press release issued today and the supplemental slides for this webcast, each available on the Investor Relations page of our website. With that, I'd like to turn the call over to Dushyant Sharma, our Founder and CEO. Dushyant?
Dushyant Sharma: Thank you, David. We are in an excellent quarter with a strong growth in revenue, contribution profit, and adjusted EBITDA, all finishing ahead of our expectations. Revenue increase 24.1% on a year-over-year basis to $148.9 million. Contribution profit for the quarter was $59.6 million, representing growth of 22.3% year-over-year, approximately trending in line with our revenue growth. Our adjusted EBITDA for the quarter was $14.2 million, which was up 183.8% year-over-year. We are very pleased with the fact that we added $10.9 million in contribution profit over the comparable quarter of 2022 and dropped over $9 million of that to adjusted EBITDA. So, essentially the majority of the incremental dollars we generated dropped to the bottom line. We were able to achieve this while delivering revenue and contribution profit growth in the low to mid 20% range. We also accomplished this without sacrificing investment in our innovation framework to drive future long-term success. While we are excited about our performance for the second quarter, there is still some uncertainty about the impact of economic environment and seasonality that Sanjay will address in a few minutes. Now, let me cover some key second quarter business highlights and accomplishments. From a bookings perspective, our performance in the quarter and the entire first half of 2023 was significantly better than the same periods in 2022. As a result of this and our continued sales momentum, we continue to enjoy the benefit of a strong backlog at the end of the quarter. Given this, we are confident about the rest of the year and believe we are strongly positioned for 2024. Our bookings results continue to support our belief that our partner is univer -- sorry -- our platform is universally scalable to any vertical and any business of any size and complexity. For example, this quarter two of our four large -- two of our larger bookings were in the retail sector. We also signed a large insurance company and a large telecommunications client along with our several large -- along with several large utilities and government agencies. And in addition, we signed a global technology service provider that serves over 100,000 domestic and international small businesses. During the quarter, we also remained focused on onboarding clients at a faster pace. We have continued to make investments in this area, which we believe are yielding strong results. The number of billers implemented in the quarter increased significantly year-over-year, while the average time to implement a biller decreased during the same period. We implemented several large clients during the quarter, and we expect these clients to start contributing meaningfully in a couple of quarters as they fully ramp up their volumes. These clients are in a variety of industries, including financial services, utilities, government agencies, and others. We believe post-pandemic conditions are making it easier for us to have more meaningful face-to-face interactions with our largest clients during the implementation process. We are now able to collaborate with our clients more closely as we onboard sophisticated and complex workflows. So, put things in perspective from a sales and operations standpoint, during the second quarter, we saw increased bookings, increased backlog, and improved implementation timelines all working favorably year-over-year and contributing to our business growth. During the quarter, we also expanded our partnership distribution ecosystem with new relationships across a range of diverse verticals, such as property management, utilities, and government agencies. We also continue to see momentum in our IPN, our instant payment network ecosystem. There's a lot of demand for our network. We also see IPN playing an increasingly larger role in bringing customers, banks, financial institutions, and billers closer together as banks focus more towards RTP FedNow and real-time processing in general. As you know, our instant payment network is centered around real-time payments between banks and billers, and we are excited that FIs are now focused on real-time processing, which has been our mission since our inception. We are also announcing a new addition to our IPN, which we are excited about. With full integration into IPN, millions of American Express card members can now pay their American Express bill using the PayPal app in real-time. So, in summary, we made substantial progress during the second quarter, which is reflected in our excellent results. We continue to invest in our future and are excited about the long-term growth potential of our business and look forward to keeping you updated on our continued progress. Now let me turn it over to Sanjay to review our financial results in greater detail.
Sanjay Kalra: Thanks Dushyant and thank you all for joining us today. Before I discuss our quarterly results and outlook, I'd like to remind everyone that the financial results I'd be referring to include non-GAAP financial measures. As David mentioned earlier, over Q2 press release and earnings presentation includes reconciliations of the non-GAAP financial measures discussed on this call to their corresponding GAAP measures. Both of these are available on our website. Turning to slide five. For the second quarter of 2023, we delivered excellent financial results that were above the top end of our guidance. We believe these results demonstrate the strength of our business, which continues to perform well despite continued macroeconomic concerns. Our second quarter results included revenue of $148.9 million, contribution profit of $59.6 million, and adjusted EBITDA of $14.2 million. We continue to experience solid business momentum in the second quarter, quite similar to what we saw in the first quarter. This drove robust bookings enabling us to exit the quarter with a substantial backlog. Based on our strong quarterly performance and the positive business trends Dushyant mentioned earlier and our expectations for the remainder of 2023, we are raising our full year 2023 revenue contribution profit and adjusted EBITDA guidance, which I'll talk about shortly. Now, let's review our second quarter financials in more detail. The number of transactions Paymentus process grew to $109.5 million in the second quarter, up 22.3% year-over-year. As I mentioned, Q2 revenue was $148.9 million, up 24.1% year-over-year. This growth was largely driven by increased transactions from existing billers, the launch of new billers and increased activity in our instant payment network, or IPN, business. Second quarter 2023 contribution profit increased to $59.6 million, up 22.3% year-over-year. The contribution profit increased reflects the increase in transactions from existing billers and the launch of new billers that I mentioned earlier. Contribution margin was 40% for the second quarter compared to 40.6% in the prior year period. Contribution profit per transaction for the quarter was $0.54, which was the same as a prior year period. In our last earnings call, we mentioned our contribution profit growth for Q1 significantly lagged revenue growth for Q1, largely due to inflation and the onboarding of large customers. We also said, we expected that the gap would start converging in Q2 primarily due to the active repricing conversations with our billers. We are encouraged by the results of our repricing actions with the customers, as well as other cost reduction initiatives we have undertaken. We also believe we have benefited from some level of disinflation in the utility sector and as a result, contribution profit annual growth of 22.3% was very close to the annual revenue growth in Q2 of 24.1%. As we've noted in the past, variables outside of our control, such as increase in the average payment amount or changes in the payment mix can significantly influence the contribution profit on a quarterly basis. Adjusted gross profit was $50 million for the second quarter, up 29.1% year-over-year. Non-GAAP operating expenses, a new measure we are introducing this quarter, increased to $37.8 million, up 6.4% year-over-year. The increase was primarily due to higher sales and marketing expenses as we continue to focus resources on our go-to market strategy. Previously we did not have a non-GAAP metric for operating expenses. Non-GAAP operating expenses exclude stock-based compensation and amortization of acquired intangibles from GAAP operating expenses. We believe that providing this metric will provide greater overall transparency into our business and performance. Adjusted EBITDA for the second quarter was $14.2 million or 23.8% of contribution profit, up 183.8% compared to $5 million or 10.3% of contribution profit in the prior year. This strong performance compared to our guidance provided last quarter was driven by four key factors. First, the second quarter benefited from some level of disinflation of CPI Energy Services index. Second, we began to realize the benefits of over repricing conversations with customers and cost improvement initiatives earlier than anticipated. Third, our implementation pace quickened during the second quarter, which enabled us to successfully launch billers ahead of our original plan. And fourth, our hiring expectations progressed slower than planned in the quarter, resulting in lower operating expenses. I believe the strong adjusted EBITDA margin demonstrates the inherent operating leverage we have in the business and our ability to adapt to changing market conditions as we continue to grow. Other income was $1.7 million during the second quarter, reflecting increased interest income from our bank deposits and effective cash management. Non-GAAP net income was $10.2 million or $0.08 per share compared to non-GAAP net income of $0.9 million or $0.01 per share in the prior year period. Please note that beginning this quarter we have modified the calculation of non-GAAP net income. Non-GAAP net income now adjusts GAAP net income for stock-based compensation. As a result of this modification, non-GAAP net income adjusts GAAP net income for amortization of acquired intangibles and stock-based compensation. Now, I'll discuss our balance sheet and liquidity position on slide six. We ended Q2 with unrestricted cash of $159.1 million compared to $143.6 million at the end of Q1 2023. The $15.5 million increase is primarily comprised of $26.5 million of cash generated from operations, offset by $8.7 million used in investing activities. The company does not have any debt. The free cash flow generated during the quarter was $17.8 million. Our day sales outstanding at the end of Q2 was 41 days, an improvement from DSO of 46 days at the end of Q1 2023. Working capital at the end of Q2 was approximately $190 million, an increase of approximately $9 million from the end of Q1 2023. We had 124 million diluted shares outstanding at the end of June 30th, 2023 compared to 123.8 million diluted shares outstanding at the end of Q1 2023. The marginal increase was due to vesting of employee restricted stock units and exercise of stock options and improved average stock price during the quarter. Now, I'll turn to our non-GAAP guidance for Q3 2023 and Q4 2023 beginning on slide seven. In Q3 2023, we expect revenues to be in the range of $150 million to $154 million, representing 19% year-over-year growth at the midpoint. Contribution profit to range from $58 million to $60 million, which is 15% year-over-year growth at the midpoint. Adjusted EBITDA of $9 million to $11 million, representing growth of 25% year-over-year at the midpoint. The reason adjusted EBITDA is projected to not be quite as strong as Q2 is partly because of increased hiring that began in July, reflecting over return to plan in that regard, the typical Q3 summer seasonality and the extreme weather conditions we saw during July and that we believe are likely to continue in August. Lastly, this guidance does not anticipate the continued disinflationary trend in energy prices that we saw in the second quarter. In Q3 2023 we expect revenues to be in the range of $152 million to $158 million; contribution profit to range from $60 million to $65 million; and adjusted EBITDA of $9 million to $13 million. Given the considerable progress we have already made in the first half of 2023 and our expectations for the remainder of the year, for the full year 2023, on slide eight, we now expect revenue in the range of $599 million to $609 million, up 1% from the midpoint of our previous guidance. Contribution profit in the range of $231 million to $238 million, up 1.5% at midpoint versus our prior guidance; and adjusted EBITDA to range from $41 million to $46 million, representing a 20% increase at the midpoint versus our previous guidance. In summary, we reported excellent second quarter results. In the first half of 2023, we have continued to build on our solid momentum from Q1 2023 with strong revenue, contribution profit, and adjusted EBITDA and bookings growth, which enabled us to end the second quarter with a solid backlog. As a result, we have strong visibility and believe we have positioned ourselves well for the balance of 2023, as well as into the next year. Thank you everyone for your attention today. And now I'll turn it back to Dushyant for final remarks before we open up the call for question.
Dushyant Sharma: Thanks Sanjay. In closing, we're excited about the long-term prospects of the business. We believe we are well-positioned to leverage our ecosystem, our payment operating system, and the various applications we support to grow our business. We are dedicated to our goal of delivering expanding EBITDA margins while growing our business over the long-term. Our approach of sensible, profitable growth has served us well to this point and we believe that approach will continue to serve us well in the future. Also as an organization, Paymentus is dedicated to incorporating environmental, social and governance, or ESG, practices into our operations. As such, I'm pleased to announce that we have recently posted our 2023 ESG report on our IR website under the Governance section. We are proud of what we have achieved in these areas and to share this ESG report with you. Also I want to take this opportunity to thank my colleagues at Paymentus who work tirelessly to serve our clients. Thank you. That concludes our prepared remarks and I'll allow open the line for questions.
Operator: [Operator Instructions] Our first question comes from Dave Koning with Baird. Please proceed.
David Koning: Yeah. Hey, guys. Great result. And I guess my first question…
Dushyant Sharma: Thank you, Dave.
David Koning: …yeah, yeah, sure. My first question, network fees were down dramatically sequential, I think $0.87 or $0.82 per transaction instead of $0.87 and much more like the normal range. Is that -- now that utility inflation is much lower, is that kind of the -- are we back at kind of a more normalized network fee per transaction?
Sanjay Kalra: Well, there is a variability quarter-over-quarter in terms of the fee and what the rate average you will get, but overall we are pleased with the significance -- significant improvement we saw this year and the trends we are seeing, Dave, and definitely the CPI index does help overall. But the trends could be -- in a very close range, I would say over the quarters.
David Koning: Yeah. Okay. Okay. Thank you. And then I guess my follow-up …
Dushyant Sharma: And David, if I may, there's also seasonal impact as you know, summer -- as Sanjay mentioned earlier, that summer has been rather -- rather temperatures that been rather hot. And so, we are watching that as well.
David Koning: Gotcha. Okay. Thank you on that. And then I guess, my follow-up, your incremental margins have been very good in recent quarters and were tremendous this quarter. I think 85% incremental margin year-over-year. Which of the costs -- like, I know you said this quarter costs were managed really closely. When they do start to ramp again, I mean, is it really sales and marketing that ramps and maybe is SG&A and D&A or R&D, are those a little bit more stable going forward? Like they're not going to ramp as much as sales and marketing?
Sanjay Kalra: That's right, Dave. Relatively sales and marketing will ramp up more than G&A and R&D. But this quarter we saw some benefit in Q2. We were actually slower in our pace of hiring than we originally anticipated. So, there is some element of that in Q2, but in Q3 we are coming back to that level. But you are correct in your assessment of, which part of OpEx is going to be higher than others.
David Koning: Gotcha. Great job guys. Thank you.
Dushyant Sharma: Thank you, Dave.
Operator: Our next question comes from Ashwin Shirvaikar with Citi. Please proceed.
Ashwin Shirvaikar: Hey, guys. So, congratulations from me as well. I wanted to pick up on a point that I think Sanjay mentioned, faster implementations. Could you delve a little bit more into that? What are some of the changes that you made and how sustainable are they -- I mean, were these like idiosyncratic focused on specific clients to get it done? Or was there more of a process improvement that might be more sustainable, if you could comment on that?
Dushyant Sharma: Sure. I think, there are three factors, I would say. First would be the understanding of the complex and sophisticated workflows that we implement for our clients, and then therefore, incorporating them in our platform -- base core platform itself. So, making changes there and putting some tooling in place. The second would be the process itself, how we are onboarding and how we are interacting with the clients. And the third is the point I made that the face-to-face interactions, especially in the large and complex sophisticated clients has made a huge difference for us, the post-pandemic conditions. Many a times you're able to go -- when we see that there is a potential of whiteboarding, something to get to a conclusion very quickly so that we can continue and don't lose the momentum on the implementation process. We are right in front of our clients and whiteboard the solutions and get to the next stage. So, some of that is very helpful to us.
Ashwin Shirvaikar: Understood. Thank you for that. And then, congratulations again on the American Express, PayPal thing getting done. Maybe if you can comment on sort of the impact of -- from a financial model perspective, as you sort of look at it, the impact of the partner based approach being -- becoming more important versus direct. Is that beginning to make a difference? Because that obviously also has an impact on which lines are impacted. So, if you could sort of walk through and remind us of that, that would be great. Thank you.
Dushyant Sharma: Yeah. No, that's a great question, Ashwin. Actually, this is one of the key areas which we have been focused on as we have shared in the past that the way we have gone with our strategy here is that we are building an ecosystem through our IPN partners, IPN partnership, but also our bank and other FinTech partners as well as software partners. If we look at our partner ecosystem, it has never been broader and better than right now. And there's tremendous momentum there, just because of all the capabilities we offer and the breadth of the network that exists. So that is all translating into momentum in bookings and as well as the pipeline in addition to the direct sales. So, some of the direct sale -- some of the sales and marketing expenses we are making, they're also towards developing the partner ecosystem, or growing the existing partner ecosystem -- growing with our existing partners as well. So, this is actually working extremely well for us.
Ashwin Shirvaikar: Great. Thank you.
Operator: Our next question comes from John Davis with Raymond James. Please proceed.
John Davis: Hi. Good afternoon, guys. Sanjay called out several factors for the 2Q upside relative to your guide, but none of those seem to be kind of one-time in nature. So, Dushyant or Sanjay, maybe you can help me just kind of square that with the fact that the guide implies about a 700 basis point decel and contribution profit growth about 600 basis -- 650 basis point, a lower margin in 3Q and 4Q versus 2Q, maybe just as conservatism, anything timing related? Love, any comments there?
Dushyant Sharma: Yeah. Sure. John, that's a great question. I start, I talked about four key factors in Q2, which we noted because of the Q2 performance is good in terms of EBITDA compared to what we guided, and I can cover all the four. I think the first one is mainly we saw a level of disinflation of the CPI Energy Services index, and this is the first quarter when we have seen it coming. And I think once establishes a trend, it will get into our numbers, but as of now, we have not factored that in Q3. It's very -- it's not easy as you would understand to forecast what the CPI index would do. So, we have taken considered that as happening in Q2, but not counted in Q3. Second, we realize -- we began to realize the benefits of our repricing conversations with customers, and that was actually originally planned to happen in Q3, so we pulled that in Q2. Our teams did a phenomenal job in making those negotiations and closing those deals sooner than expected. So that's an upside for Q2, but that already planned for Q3. What that does is it basically kind of guarantees us more that, more confidence that in Q3 is going to happen because it's already done in Q2. So that's not an upside in Q3 versus Q2, but Q3 is already -- was already there. And cost improvement initiatives as well. We had plans, some cost initiative improvements, which is basically working with the card networks on their plans based on certain information. And we did -- the teams did a great job there. So that was accomplished in Q2 as well, and that was planned in Q3. So that -- consider that happening sooner as well. Now, the implementation phase, which has picked up, this is great. And this has been -- these -- some certain implementations were planned in Q3 and they started happening in Q2, so that's a pickup in Q2 and in Q3 they're already on the plan. And I would say the last piece is that the hiring expectations in Q2 came slower, because we didn't hire as many people, but we are getting back on our original plan to fill those positions in Q3. So that's kind of the comparison of each of those key items. So, you will see that some of them are continuing, some of them could be upside and some of them will not, because they already happened, they were already planned in Q3.
John Davis: Okay. Great. No, that's super helpful. And Dushyant, maybe a follow-up. You have about $160 million of cash on the balance sheet, cash flow positive business, margins flexing the right way. How should we think about capital allocation? Kind of what are your priorities? Are you guys looking for tuck-ins, anything more transformative? Just any update on a capital allocation perspective. Thanks.
Dushyant Sharma: Sure. I think, right now -- first of all, if I may make a comment on that itself that we are very proud of the fact that we are able to demonstrate the operating leverage the business has, and especially combined with the growth. So thank you for noting that. Cash flow positive business. We are -- there isn't a whole per se we see in our product portfolio, which we are actively trying to fill. So, we feel like that we are well-positioned right now for the growth. We are setting ourselves up for -- from a product and the capabilities perspective. However, we are opportunistic and in the market the way they are. We get to see a lot of books obviously. So, we'll continue to do that. Nothing is specific planned right now.
John Davis: Okay. Appreciate the color. Thanks guys.
Dushyant Sharma: Thank you.
Operator: Our next question comes from Tien-Tsin Huang with JP Morgan. Please proceed.
Tien-Tsin Huang: Hi. Thank you. Nice results. Just following up on John's question, just with the repricing piece, is it -- what percent of your target book of business that you're looking to reprice have you completed at this point? Did -- or was all of it achieved in the second quarter?
Dushyant Sharma: Great question, Tien-Tsin. I would say that most of the improvement occurred in Q2. There is still more to go, but I would say a significant piece happened in Q2. It's -- now it's becoming part of our regular process as new billers are getting signed and as our contracts already entail the provision that the pricing would be changed based on CPI. So, overall, going forward, the process will be better, but in -- if the question was more in terms of catching up with the existing previous billers, I would say a big piece happened in Q2. And so that's going to reoccur every quarter, and that's baked into our guidance already.
Tien-Tsin Huang: Right. So, that's what I meant, right? So, there will be a reoccurring piece, but it sounds like there'll also be maybe a -- some incremental benefits as well. I know there's some other offsets, but I just wanted to isolate the pricing part. And then just given the disinflation comments is my follow-up question, just the spread between contribution profit and revenue. I know it's implied in your guidance here. But can we expect that generally to track tighter or narrower here? If this disinflation theme continues, just try to understand it a little bit better. Thank you.
Dushyant Sharma: Yeah. I mean, if the -- this trend continues, you could see that -- I mean, what as you -- what you said could be the expectation, but what we have seen is that the seasonality and the variability among the quarters exists. So, I think if you factor that into consideration, I would say, then your assessment is right, Tien-Tsin.
Tien-Tsin Huang: Okay. Thank you.
Operator: Our next question comes from Zachary Gunn with FT Partners. Please proceed.
Zachary Gunn: Hey, there. Thanks for taking my question. I just want to ask quickly on sales and marketing, you mentioned investing there a bit. We've had some conversations highlighting a less competitive marketing environment helping with cost efficiencies. I was just curious what you all are seeing on that front. And then maybe just as a follow-up. EBITDA margins were pretty strong in the quarter at 24%, when there's still a lot of headwinds going on with inflation and everything. Maybe to help us understand like what the -- if the long-term margin structure of the business looks any different today than at the time that you went public. Thanks.
Dushyant Sharma: Yeah. I think the market conditions have changed a lot. The macro environment is very different than what it was when we went public. So, we are obviously not guiding in any way, shape or form, but long-term, we -- our target and objective would be to grow the top line in the 20% range and EBITDA in the 20% and 30% range growth over the dollar quantum.
Zachary Gunn: Got it. Thanks.
Dushyant Sharma: And going back to your first question on sales and marketing, I think the efficiencies we are seeing, we got a very strong pipeline in front of us, and we are actually trying to be opportunistic and see, if we can improve our hiring in sales and marketing sooner in Q3. Our goal is to convert a big piece of the pipeline into bookings going forward as majority of the growth would come from there.
Zachary Gunn: Yeah. Makes sense. Thanks guys.
Operator: Thank you for your questions. [Operator Instructions] Our next question comes from Jason Kupferberg with Bank of America. Please proceed.
Jason Kupferberg: Hi, guys. I know you mentioned some timing benefits on the expense side in the second quarter. I was just curious in terms of booking, because I know you talked about the bookings being robust again in Q2. Was there any pull forward there? Maybe just talk about your outlook for bookings in Q3 and Q4, just how those might trend at least on a relative basis versus what you saw in the first half of the year. Thanks.
Dushyant Sharma: Thank you. The momentum for -- our demand for our product continues to remain very strong. At the beginning of the year, and especially dealing with the macro we were dealing with, typically it's our preference anyway, but this is -- this year where you -- we were very focused that we wanted to get the first half of the year to be a very strong half so that we have the biggest opportunity we can to implement some of these clients and get the benefit of those in few quarters, or especially in 2024. So, that is one of the reasons for our focus. But our outlook for the rest of the year remains as strong as well.
Jason Kupferberg: Okay. And then just on transaction growth in 2022, 23% through the first half. Same kind of question, just sustainability in the second half. What's -- I know you don't guide explicitly on this metric, but just wondering what's directionally assumed in your guidance for underlying transaction growth?
Sanjay Kalra: Well, the seasonality in Q3 is a piece which -- if you look at the trends, Q3 is seasonally little less than Q2 and Q4 as well. From a seasonality perspective, the interchange does get impacted and hence our contribution profit does. But in terms of transactions, the number of transactions, I think that -- if you leave the seasonality out, because there are some billers which pay only -- where we get paid only once a year or twice a year versus many others where we get paid every quarter. So, I think that piece year-over-year should improve, given the seasonality would be similar. So, in terms of expecting the transaction growth for Q3 and Q4, I think looking at the trends of the past year would be a reasonable trend to look at.
Jason Kupferberg: Okay. That's helpful. Thank you.
Operator: Thank you for your questions. There are no longer questions in queue, so I will pass the conference back to the management team for any closing remarks.
End of Q&A:
Dushyant Sharma: Well, thank you everyone for joining. We really appreciate everyone's time. Have a great day. Thank you all.
Operator: That will conclude today's conference call. Thank you all for your participation. You may now disconnect your line.